Operator: Good afternoon, ladies and gentlemen and welcome to AngloGold Ashanti’s First Half 2018 Results Conference Call. All participants will be in listen-only mode. [Operator Instructions] Please note that this conference is being recorded. I’d like to hand the conference over to Mr. Stewart Bailey. Please go ahead, sir.
Stewart Bailey: Thank you, Judith, and everyone welcome to our presentation today of our first half results. We have a pretty packed schedule today running through the overview of the financials and the operating performance. I would ask you all to please have a look at the safe harbor statement at the beginning of this presentation. It has important information concerning the presentation and forward-looking statements. Without further ado, I’m going to hand over to Venkat.
Srinivasan Venkatakrishnan: Thank you, Stewart. Good morning to you all. If I can start off with the slide on strategy, slide number four. As always, if we can reiterate how we are guided by our strategy which has enabled us to be deliberate, in terms of how we allocate capital in a way that we believe will create value over the long-term. Once again, it is this focus and commitment that has helped us again deliver a strong set of results, across every metric today. We remain committed to delivering a safe and actively managed portfolio with tightly managed costs and capital, which helps ensure that the balance sheet stays robust enough to handle this volatile gold market. We have also never wavered in our commitment to invest in the long-term sustainability of our business, regardless of market condition. These pillars support our central objective of improving cash flow and returns on a sustainable basis, and we will -- and as we will highlight in this presentation, we are well underway in the disciplined work to achieve these outcomes in the business. I’d like to start with our safety performance, which was unfortunately marked by one fatality during the start of the second quarter at Mponeng, which takes the number of fatal accidents for the year to three. These workplace deaths remain far and away the most difficult aspect of the job, and I’d like to use the opportunity to send the heart full of condolences of the entire AngloGold Ashanti team to the loved ones of the deceased. As we continue on the journey to eliminate all injuries from our mines, we believe that we must deliver reliably safe production to ensuring ongoing sustainability of our business. We are making important progress in this regard with an all-injury frequency rate that improved by almost a third, putting it at its lowest point in the Company history. We continue to focus intently on driving that still lower with particular emphasis on continued improvement of our organizational safety culture at every level, and an area we believe especially important to properly analyze and understand the root causes of accidents and the near misses, namely high potential incidence. Turning now to slide six. And now, let’s look at some of the highlights of the first half of the year. Production from our retained operations was strong at around 1.6 million ounces, up 4% year-on-year. Australia was a major contributor to this performance with a 20% increase in production over the period and Kibali increasing production by almost a third. All-in sustaining costs improved 5% year-on-year with the help of our planned reduction in sustaining capital, following the heavy investment last year, helping to offset creeping inflation, along with the Operational Excellence program, which is starting to bear fruit. Ludwig will talk to that in some detail in a few moments on this important internal catalyst. What this all means is that we see our production for the full year at the top end of the guided range, and both all-in sustaining and total cash costs trending towards the lower end of the guided range. You’ll remember our announcement at the end of February that we completed the sale of our Vaal River underground assets, markedly reducing our footprint in South Africa, and giving us extra liquidity for putting it down towards paying down our South African debt. A quick look at free cash flow will show a strong improvement over the first half of last year, with good positive free cash flow in the second quarter. The strong cash flows and the year-on-year drop in net debt by 17% mean that we have lowered leverage of net debt to EBITDA of just over 1 time, which means the robust and flexible balance sheet going forward. And just before I hand over to Ludwig, it’s worth taking a helicopter view of the portfolio, which is now showing a very good balance, with Continental Africa now speaking for 44% of our production with strong efficiency gains, set to come through as Kibali ramps up this year and Siguiri ramps up in 2019. And let’s not forget that this improves further when Obuasi comes on line. The Americas now contribute 24% of production, benefiting from significantly weaker currencies, and some good work on Operational Excellence, particularly in Brazil, which will soon pay dividends. Australia is about a fifth of our production and is on a clear improving margin trajectory. This moves South Africa at a little over a tenth of our production with restructuring underway, as we strive to return it back to being a cash generative region. With that, I’ll hand you over to Ludwig.
Ludwig Eybers: Thank you, Venkat. We are at slide nine. It’s very pleasing to see the international operations deliver another strong performance, now that the high investment last year has begun to bear fruits. We had solid contributions from Iduapriem, Kibali, and there are two mines in Australia. Production was up 5% year-on-year to 1.37 million ounces, at a total cash cost of $769 per ounce. All-in sustaining costs were also down 4%, at $948 per ounce; this is not only to lower capital but also the intensified efforts of our Operational Excellence initiatives. This performance was achieved despite inflationary pressures, dominated by higher fuel prices, as well as inventory movements, and the underground transition of Geita, which led to higher cash costs when compared to the same period last year. We expect further increases in production in the second half, especially given the last quarter and the continuing declining trend in the unit cost, given the visibility we have on the success of the Operational Excellence program. Turning to slide 10. Turning to Continental Africa. We had another strong contribution from Iduapriem, delivering an 18% increase in production year-on-year, driven by better grades and higher tonnage treated. The performance also reflected the benefits of the conversion to CIL tanks improved the recoveries. Another stellar performance in the region was from Kibali, which delivered an impressive 32% increase in production year-on-year. This has been driven by the ongoing ramp up of the underground mining of the successful commissioning of the automated underground ore handling system and the integration of the vertical shaft. At Siguiri, production was down, as planned, due to lower grades, or Geita was negatively affected by a 6% drop in recovered grades, a point [indiscernible] as we see those improving over the balance of the year. As we’ve mentioned before, higher cost at Geita were due to both an anticipated drop in grades from the open pit and higher additional cost from underground mining as that continues to ramp up. This has been exacerbated by more cost and expensed as opposed to capitalized along with cost basis from high fees and royalties. We still expect performance to improve over the course of the year as the underground operations are ramping up. Slide 11. In Australia, Sunrise Dam recorded another strong result, particularly in the first quarter with production increasing 43% over the previous year. The solid performance was assisted by the successful implementation of the new mining strategies, which together with the new commissioned Recovery Enhancement Project and higher underground grades and volumes would help to continue this outperformance. Tropicana is also starting to reflect improved efficiencies and throughput rates. Production was up 3% year-on-year, although costs were also higher due to the grade’s proportion of waste mining. The focus during the first half was installation of the second 6-megawatt ball mill, which is on track for completion by the end of this year. Looking forward, for the rest of the year, we’re seeing further improvements across the board. Slide 12. Now, moving to the Americas region. Cerro Vanguardia in Argentina delivered the solid production, given strong performance from its crushing, milling and leaching areas. In Brazil, production was lower at Mineração due to the challenges in accessing higher grades and lower tonnages at the Cuiabá mine, while Córrego do Sítio saw lower grades. The 10-day nationwide trucker strike also had an impact on our performance, which we will be looking to call back in the second half. We saw a very good unit cost improvements year-on-year, given the traction from our Operational Excellence initiatives in the region. This improvement is expected to continue as we will see the benefits of both a new fourth shift system and also the restructuring in the second and the first half. Currency weakness has remained a factor in both Brazil and Argentina that benefit us now. As you can see, the last five years have been a bit of a journey. From 2013 to 2015, we were really restructuring the way we did business, stripping out waste and duplication, and engineering our CapEx numbers lower without sacrificing optionality. 2016 and 2017 were reinvestment years as we made positive improvements at our key international assets that we believe would yield systemic, long-term improvements. And this year, we started to reap the benefits of that long-term approach with the investments starting to yield results and our Operational Excellence program starting to kick in. Let’s turn to slide 14. From this, we look at what we got for this reinvestment program. I’m not going to go in all the details. But you can see from this slide that there are value improving in this business that either being delivered or are underway across the portfolio. Sunrise Dam has been a champion from this perspective, where we see both brownfields opportunities and value-enhancing initiatives that are in the process of being realized. Kibali is also starting to kick Iduapriem is marching along nicely. And into next year, you’ll see the combination plant project at Siguiri giving us a production and margin benefit. Brazil will be the next key area of focus for us, where we are busy with ore reserve development, optimization of underground mine sequence, and productivity improvements. While in Argentina, we continue to explore the possibilities around extending the mine life, while rebasing costs. Turning to slide 15. In addition to the inward investment taking shape, operational excellence work continues with more than 338 individual enhancement projects tracked through the project management systems as we strive to not only re-imagine what is possible from our portfolio but to start seeing meaningful move down the cost curve. This has been a major step change driven by actively working to prioritize sustainable cash flow improvements at every level of the business. We are objectively improving mine planning and forecasting. And you can see those results from the improving consistency in our reported performance. An important ingredient is our quest to data analysis and benchmarking against similar better performing assets across the global sector. This is a key to use to discover opportunities in our data site based practices. The benefit of this work is what you’re starting to see, those are at the very beginning, which is a redefinition of our asset potential, further entrenchment of our already good [ph] capital discipline. Slide 16. The benefits we expect to achieve for 2018 above and beyond approved plans for the year are set out in the last column of this slide. As you can see, we have made considerable progress on our efforts, not by trying to [indiscernible] approach but generating the aggregated benefit of number of initiatives, which together elevate the overall asset performance. We have provided [indiscernible] part of the benefit of these figures, you see on the right and have higher confidence that we will at least achieve those over the balance of the year. And with that, I will hand over to Chris for the South African region.
Chris Sheppard: Thank you, Ludwig. If we can turn to slide 18. In South Africa, we started the second quarter with a smaller and more focused footprint. Mponeng continues strong with production increasing 12% year-on-year to 119,000 ounces as the mining -- improved mining practices together with higher reef values. This is our flagship mine in South Africa, which we are working on developing to reach its long-term potential through the mine life extension project. The project has unfortunately experienced some delays over the quarter due to the fatal accident as alluded by Venkat early on, which occurred in April. This fatal accident caused a delay in the ore reserve development and also had an impact on the construction activity to a little extent. We are however hard at work to ensure progress in this project. On the technology innovation project, this has been scaled down in line with the accelerated closure of the mine TauTona. Work continues to establish the site for the High Strength Backfill plant at Mponeng mine. And it is estimated, the plant construction will now commence in the second half of the year. At surface operations, Mine Waste Solutions saw focused improvement in plant recoveries, assisting production as the operations reverted to normal production levels compared to the first half of 2017, which was impacted by significant weather storms. Costs in the regions were impacted by power, annual salary increases, and the stronger rand against the dollar. The work to further reorganize this region in our portfolio continues as we optimize our cost base, support the smaller operating footprint, and we are encouraged by stronger year-on-year performance from our retained assets. In quarter three, we aim to conclude the current Section 189 process and hopefully finalizing our wage negotiations, and returning South Africa to its positive cash flows in quarter four. Turning to slide 19. Work is underway to ensure that the cost structures are resized appropriately for the now smaller footprint. Our focus is to responsibly create South African business that can be profitable on a sustainable basis. We tend to do this by simplifying the operating model, reducing the surface footprint by pursuing commercial opportunities along with the rehabilitation of unused infrastructure, and then finally completing the dialogue that’s currently ongoing under the Section 189 process. I’ll now hand over to Graham.
Graham Ehm: Thank you, Chris. Today, I’ll cover few projects, make a few comments on exploration. As Ludwig’s already outlined, Kibali delivered an excellent result for the quarter and for the first half. The underground ramp-up and continued improvements in throughput and recovery helped boost production to a record 203,000 ounces on 100% prices, a 17% increase from the first quarter. Cash costs decreased by almost a third to $645 an ounce. For the first half, production was 374,000 ounces, or 32% year-on-year increase at cash cost of $699 an ounce and all-in sustaining cost of 876. The final element of the original project is the third hydropower station Azambi. Commissioning has commenced and the power station will be fully operational in the third quarter. Total hydropower capacity is now 40 megawatts and can provide most of the mine’s power requirements. Turning to slide 22. In regard to Obuasi, Ghana Parliamentary ratification of the development and tax concession agreements was achieved on the 21st of June. The EPA subsequently issued the environmental permits on acceptable conditions. We have also previously agreed reclamation security agreement which defines the scope and the costs for the rehabilitation of this 120-year old mine. This is also ensured that there is no change to our reclamation liability and the related ending requirements. With these approvals fully in place, we are now ramping up the implementation. The project continues to target first gold by the end of 2019 and ramp up to commercial production at the end of 2020. Most of the key construction management roles have been recruited; detailed design is progressing; process flow diagrams and design criteria are being finalized; and preparation of the first contracts for demolition and the handling refurbishment of construction workforce is well advanced. Establishment of the operating management team is also well advanced, and true to our values of maximizing opportunities for Ghanaians. And recognizing the country’s long history, we’re providing every opportunity to our current care and maintenance team, and other Ghanaians in country and globally to be part of the redevelopment. I’ve explained before that the objective is to establish a modern mechanized mine. Getting the right culture and systems and processes in place is key to this objective. And we won’t be compromising our results to that effect. We are making good progress on this, leveraging from Sunrise Dam and from Tropicana operations. We’re well advanced on the underground mining contract. Following the final process, 70-30 joint venture between African Underground Mining Services and Rocksure International, a Ghanaian mining contractor, is the preferred contractor for delivery of the underground mining services. Negotiations of the final contract terms and conditions are well advanced with an expectation that project works will commence later in 2018. The joint venture has been incorporated in Ghana and will trade under the name of Underground Mining Alliance Limited. We are very pleased that through this JV the project is achieving real and meaningful Ghanaian participation. AngloGold Ashanti’s purchased the mining equipment, orders have been placed and equipment has already started to arrive in Ghana. Turning to slide 23. This is a very hard work project. It’s a high return, brownfields project that extends Siguiri’s mine life by six years with annual gold production of approximately 300,000 ounces per annum and with further upside potential. The project remains on schedule, the milestone of completing the CIL circuit has been achieved. The grounding circuit commissioning and new power plants are on track for quarter four this year. Now turning to exploration. Of our annual exploration budget of a $130 million, approximately 20% is focused on greenfield. Greenfields exploration is focused in Australia around Sunrise Dam and in North Queensland, in the U.S. in the Northern Eastern part of Minnesota and Nevada and in Argentina. Generative and target generation is currently in progress in Brazil and West Africa. Strategically, we also use the portfolio of small holdings and earning deals to supplement our in-house capacity. Examples are the farm-in agreement with Saracen Butcher’s Well, near Sunrise Dam, the silicon prospect in Nevada with Renaissance Gold, our 18% shareholding in Corvus Gold, and a 16% stake in Pure Gold. The balance is investment in mineral resource and reserve replacement at our mines and projects. There is a strong focus on the sites with shorter mine lives, based on ore reserves. Turning to slide 25. A good example of this is Sunrise Dam, where the reserve life is five years, but the expected mine life is much longer. This slide shows a cross section of Sunrise Dam. Sunrise Dam remains open in all directions to the south, the north and at depth. Aspect for a long life mine is clearly evident. The Vogue domain is the largest ore body and drilling is showing multiple shears, which control the mineralization. The Midway Shear Steeps is a new high grade discovery with which 20 to 22 meters of grades ranging from 20 to 230 grams a ton. Future production areas include Carey Shear below the Vogue ore body and the Cosmo area to the east. On slide 26, the team has put in place a clear program to explore and progressively expand the mineral resource and bring these [ph] into reserves. The application of underground asset [ph] drilling, relatively new technology underground has provided fast, effective, and low cost alternatives to diamond drilling. Converting the resource to reserve is expenses and in itself does not add value. The diagram illustrates AGA’s strategy. Exploration is programmed in advance of reserve definition, which is in advance of grade control, leading to production. We aim to keep a balance. In this context, one should not judge the mine life of Sunrise Dam by the ore reserve but by the resources and the endowment potential. On slide 27, AngloGold’s ore reserve additions by our international assets have performed the other five largest gold producers in the percentage of size with the same or larger ore reserve at the year-end 2017 as compared to 2014. And on slide 28. You’ve seen this slide before, but it bears repeating that mine lives generally extend beyond published ore reserves. During a mine’s operation, a combination of brownfields exploration, resource conversion, operational excellence, mine optimization and price can extend a life considerably compared to that based on the ore reserve at a particular time. This is even more the case for underground operations. The chart demonstrates that at several of our operations, the expected mine life is double or more than that based on the published ore reserves. Ludwig has run through the brownfields projects in some detail, so I won’t repeat them. But suffice it to say, they have created the platform with those assets to realize the extended mine life profile. Thanks very much. And I’ll pass on to Christine.
Christine Ramon: Thank you, Graham. Good day, everyone. As we’ve heard from Venkat, we’ve had a strong first half underpinned by solid operational performance and good cost control. Our balance sheet has strengthened on the back of improved free cash flow, the South African sale proceeds and a continued focus on capital discipline. We’re on a positive trajectory for the rest of the year, and I’ll conclude on the outlook a bit later. I’ll now move on to the detail of our first half performance. Moving on to slide 30. Our half year financial performance is very pleasing, which benefitted from improved operational performance and efficiencies, good cost control, and a 6% higher gold cost year-on-year. Total production declined by 7% compared to last year. However, on a like-for-like basis, after stripping out the sale of Moab and Kopanang as well as adjusting for the closure of TauTona, we show a healthy uptick in performance from retained operations, up 4%. Both, our all-in sustaining costs and all-in cost metrics improved on last year despite 3% higher cash costs. I’ll go in the cost detail in a little while. Adjusted EBITDA of $722 million from retained operations which excludes impairment, retrenchment costs, and other defined items was 22% on last year. The increase on the tax charge compared to the prior year reflects the overall improved profitability of the business. Free cash flow improved significantly compared to last year with $19 million free cash flow generated for Q2. Excluding the one-off restructuring costs for the South African region and the working capital lockups, we are at free cash flow positive for the first half. The improvement in free cash flow was underpinned by the improved operational cash flow, lower capital expenditures and positive working capital movement. As Ludwig mentioned, sustaining capital, particularly in the international operations last year reflected the peak of our inward investment program, which is starting to deliver benefits. As planned and aligned with our cost stream, we expect capital expenditure to trend upwards in the second half. However, we’ve already banked some capital savings relating to the earlier conclusion of the South African asset sale, the Operational Excellence initiative, and favorable currency effects. In addition, working movement positively impacted free cash flow due to lower inventory levels and lower prepayments on long lead capital items, despite the $29 million increase lock-up in Tanzania and the DRC. We have been able to offset some of the historical debt in these regions and our efforts in this regard continue. Finally, an additional retrenchment provision was made for the South African region during the period of $22 million post tax that will impact cash flows in the second half. Moving on to slide 31. Our consistent focus on improving margin has resulted in a solid all-sustaining cost margin through the cycle. The all-in sustaining cost margin from retained operation is a healthy 23% for the first half and reflects the benefits of good cost management and our Operational Excellence program which focuses particularly on the controllable factors of our business. We’ve already captured significant cash flow savings relative to project through initiative in the first half with more sustainable savings expected in the second half. Moving on to slide 32. The 3% increase in total cash costs for the first half reflects the inflationary pressures across the emerging economies that we operate in. We also saw higher mining costs relating to the Geita underground development, the higher royalty and service fees at Geita, and the negative impact of the overall stronger currency in first half. There was however a $16 per ounce improvement in total cash costs in Q2 versus Q1, reflecting the improved operational performance. This is expected to improve in the second half with the Kibali underground ramping up, Sunrise Dam recovery enhancement project improving productivity, the Brazil recovery in the second half and the South African region completing its restructuring. The total all-in sustaining costs at $1,020 an ounce and $1,005 an ounce all-in sustain costs for retained operations reflects an encouraging lower trend compared to last year. This was primarily driven by lower sustaining capital where some operational excellence savings have been done. All-in sustaining costs at $1,269 an ounce for the South African retained operation was 9% higher due to inflationary pressures, despite the 7% stronger exchange rate, given that there are fewer units of production absorbing the overhead. All-in sustaining costs for the international operations at $948 an ounce was 4% lower, which was underpinned by a strong operational performance and lower sustaining capital, which more than compensated for the inflationary pressures. Moving onto the balance sheet on slide 33. Our net debt of $1.8 billion at the half year, fell by 17% from last year due to sale proceeds received on the South African assets and improved free cash flow. The net debt to EBITDA ratio at 1.1 times is the lowest since 2012 and reflects ample headroom to our 3.5 times covenant, providing the flexibility required in the current volatile economic climate, whilst positioning the Company to remain cost efficient with regards to its low-capital, high-return reinvestment opportunities and to sustain our annual cash dividend. Going forward, we expect our positive cash flow momentum to continue benefiting from efficiency improvements as well as from our leverage to gold price and currencies. We have ample undrawn facilities and long dated bond maturities. We plan to commence the refinancing of our U.S. dollar and Aussie dollar RCF facilities in the second half of the year. The refinancing of the South African RCF facilities was completed last year. Our credit ratings remain intact. Finally, concluding on the full year guidance on slide 34. Our guidance contains the usual caveats relating to any labor, power or other disruptions. We are on track to meet the full-year guidance where we expect production at the top end of the guidance range, taking into the account the improve production performance at the half year and the expected uptick in production at Kibali, Geita, Australia and Brazil in the remaining two quarters with the heavier weighting in Q4 for the legacy operations. The improved operational performance was boosted by the Operational Excellent focus that is expected to further benefit costs, which are trending towards the lower end of the guidance range. Our currency exposure across our various operating geographies continues to provide a natural hedge to inflationary effects and to the volatility in the gold price. This diversification differentiates us from the majority of our peer group and gives us the resilience in what remains a volatile market as we continue to realize currency benefits in more than two-thirds of our portfolio. We remain sensitive to changes in both the commodity prices and currencies and the estimated impact, based on the assumptions provided on all-in sustaining costs and cash flows are provided with the health warning [ph]. Capital expenditure is expected to increase in the second half, although as I mentioned, some capital savings were banked in the first part. And we reaffirm our capital guidance provided at the range of $800 million to $920 million. Sustaining capital comprises 70% of the total capital expenditure. The expected increase in the sustainable capital in the second half relates primarily to South Africa, Continental Africa, in particular at Geita, and the Americas. Of the $200 to $250 million in project capital, Obuasi comprises $102 million, which will largely be spent in the second half as the project gains momentum. We also have the Siguiri combination plant in at $78 million and that project, as Graham mentioned, is expected to be completed by the end of the year. The balance is made up of $11 million at Kibali and the completion of Mponeng Phase 1 in at $9 million. I will now hand over to Venkat to conclude.
Srinivasan Venkatakrishnan: Thank you, Christine. As you all know, well, we have named Kelvin Dushnisky as my successor and he’ll be taking up his role at the start of next month as the head of an experience and well established executive team. Kelvin is a great fit for us with a very good working knowledge of the market, of our strategy and the work we have done on margin and efficiency improvement and strict capital allocation. I expect the transition to be seamless, and I wish him only the very best in his new role. Turning on to the penultimate slide. Low price [ph] is suggesting what the focus areas for the balance of the year are and where our work is clearly cut out for us. First, a firm focus on safety, tops the list as always. Secondly, supporting Ludwig and his team in embedding the Operational Excellence plan, it’s something Kelvin has also indicated, will be his priority. Third, is ensuring that we don’t miss a beat on executing the Obuasi redevelopment project. Chris is in the middle of a clear plan to restore the remaining South African asset base to profitability, which is critically important for its long-term sustainability. We continue to engage with our host government in Tanzania to get greater clarity over the legislative changes there, in the context of our mine development and stability agreements, given the uncertainty that exists in the market over the resource sector there. I am hopeful that those discussions will be productive. Likewise, working alongside our joint venture partner in the DRC, to arrive at a mutually acceptable term with the government, given the stability previously granted and the benefits compared to mining companies that operates in land-lock, infrastructurally challenged provinces, such as ours. And finally, as Graham has laid out, we have an exciting slate of brownfields projects, which we’ll need to deliver to plan, and there is no margin for error. Turning on to the final slide, slide 38. As you know, this is my final presentation, after around 72 quarters, with this Company, the last 22 as a CEO. If you’d indulge me, I thought I’d reflect on some of the work we have done over that time, to reposition this Company, to not only survive the gold price storms that came at us back in 2013, but to also thrive in a range of market conditions. You’ll see our dogged focus on margins and on focusing the best of our assets through targeted investments and operational excellence. As you have heard a number of times here today, this has helped bring down costs by more than a third. In doing that, we have kept all of our options largely intact, which means we are not faring at a production cliff anytime soon. The business is safer. Building on the work done for many years, we have continued to focus on reducing not only fatalities, but injuries that occur in the workplace. The widest measure of workplace accidents, the all-injury frequency rate is 28% better than it was, but clearly there is more work to be done in this area. The business has been significantly derisked, net debt is down almost half from its peak, despite the fact that we had to self finance the entire construction of two new mines in Kibali and Tropicana. We achieved that deleveraging from internal sources only, through good old fashioned cash generation and some asset sales, with no, I repeat, no dilution to shareholders. Either way, the stronger balance sheet makes the business more resilient. Over this entire period, we have been delivering a consistent operating and financial performance, meeting our guidance every quarter and every year, in a volatile business environment. And finally, one of the true measures of the health of the business is the productivity metric, which has marched steadily upward, during this period that’s even before the sale of some of our more labor intensive South African assets earlier this year. We have some truly talented miners and engineers in this business who have continued to look for opportunity to do more with less and have invariably come up with the goods consistently. We are producing 58% more gold per employee casted than we did five years ago. And if there is one thing you can take from today’s presentation is that there is more from where that came from. I am truly honored to have served as CEO of this great Company for the past five years. And given that I am a shareholder, you can be assured, I’d be glued to the news of its success in the months and years to come. I thank you all for your interest, your support and in many cases, your guidance and probing questions over the years as we have come grips with doing the often unglamorous and boring work of building a self-sustaining gold company in what appears to be a perennial bear market that is poised to deliver value over the long-term. With that, I had over to the operator for questions.
Operator: Thank you very much, sir. [Operator Instructions] We do have a question from David Haughton of CIBC. Please go ahead, sir.
David Haughton: Good morning, everybody. I think there was a technical snafu there. I had to dial back in. So, Venkat, thank you very much for your last quarterly update. Best of luck for the future. My first question I guess is for Christine. You ran through some of the CapEx expectations for this year. And my particular interest here is looking at the spend at Obuasi. Can you just run through what your expectations are for the balance of the year at Obuasi?
Christine Ramon: So, David, at this stage, for the full year, we’ve got $102 million spend for Obuasi, and most of that will actually be spent in the second half. It was about $4 million spent in the first half. So, as you can see, as the project gains momentum, the balance is really going to be spent in the second half of Obuasi. And it seems…
David Haughton: Yes. Okay. So, that’s slightly below previous expectations. And clearly, it’s because of the relatively slow start there. What would you think the CapEx spend might be in 2019?
Christine Ramon: I think overall, we’ve always seized of the $500 million capital, 20% in the first year, 55% in the second year and the balance in the following year. And that’s pretty much what we expect to see next year.
David Haughton: Okay. So, at -- the momentum really starts to pick up and it continues on.
Srinivasan Venkatakrishnan: That’s correct, David.
David Haughton: The other slide in the presentation that I found quite fascinating was on page 28. Now, Graham has spent some time talking about the upside at Sunrise Dam. And we had a session about a month or so ago to get a better understanding of it. I guess, my question on this slide would refer to Geita. You’ve only got a relatively short life on reserves, but you’re targeting something like 12-year planning life. I presume that that is an underground expectation at Geita?
Ludwig Eybers: Yes. Absolutely that’s underground and actually ramping up at this moment in the underground exploration that will increase over time. So, you will see that 2.3 years will stick to longer reserves or larger reserves.
David Haughton: Okay. And with the underground ramp up, where you see the underground throughput going to in excess of 1 million of tons per annum, what do you target?
Ludwig Eybers: So, we don’t see the tons throughput because with the underground typically it would be opposite [ph] of the open pit throughput. So, we’re looking at more or less same kind of ounces, maybe a little bit lower ounces but at obviously coming at higher grade. So, the throughput will be around 5.5 -- would be closer to 3 million tons, where we actually would shut down this SAG mill and only use the ball mining.
David Haughton: So, the underground has the potential to feed 3 million tons per annum by itself to the mill?
Ludwig Eybers: That’s what we’re targeting.
David Haughton: Okay. And when would you expect to be able to get to that 3 million ton per annum rate?
Ludwig Eybers: Well that’s -- we’re looking at around 2021. And it’s all the things, because we’re still continuing with the open pit exploration program. So, that can change depending any open pit resources. And at this moment, I must say it actually quite promising.
David Haughton: Okay. And to get to that kind of throughput rate, quite a lot of development, I would expect would be require to get the number of bases to produce 3 million tons per annum. What sort of development CapEx would you be envisaging?
Ludwig Eybers: Well, it’s typically what we’re looking at this moment and that’s why you can see the ramp up of -- in the Geita mine. So, typically, anything that between $60 million or $90 million, I would say in total, yes.
David Haughton: Okay, $60 million to $90 million through to 2021?
Ludwig Eybers: It will taper down by end of 2020.
David Haughton: Okay. And the kind of grades that you’d expect at that kind of throughput rate, the grades that we’ve been seeing recently are in the 5-gram kind of level, although the reserve grade or adjusted reserve grade I guess is getting closer to 6 grams. Would you be taking some dilution to be able get to that 3 million tons per annum?
Ludwig Eybers: Yes, we will. So, it will be around depending on [indiscernible] actually grade, and where we’re actually opening up new portals at this moment. So, it’ll range anything between 5 to 6.5 grams, depending on the timing as well, maybe more, 4.5 to 6.5, as we progress to the distance areas.
David Haughton: Okay. Yes. That’s quite a different kind of mine to what I guess we’d been envisaging previously.
Ludwig Eybers: Yes. It’s a -- the grades are much better than Sunrise Dam.
David Haughton: All right. I’ll just leave it there for someone else. Thank you.
Operator: Thank you. The next question comes from John Tumazos of John Tumazos Independent Research.
John Tumazos: Thank you very much. Do you anticipate any significant changes as Kelvin succeeds? Barrick’s Chairman makes what he calls Tier 1 gold mines over 500,000 ounces with very low cost. Of course, your largest mine Geita doesn’t quite reach that threshold. Do you see AngloGold’s portfolio of 16 smaller mines is too much of a management challenge?
Srinivasan Venkatakrishnan: I’ll take that one actually. In terms of your question, really, it’s one for Kelvin, if I may. But certainly, Kelvin is aware of our portfolio. We have actually slim the portfolio down from 21 to around 13 core mines. In reality, I do know that Barrick went on a particular strategy to sort of focus on 6 or 7 key assets of large-scale and cash flow. But there is up to Kelvin in terms of what he wants to do in terms of the portfolio. But, certainly, he is aware of all the brownfields options which are within our portfolio, certainly in terms of Brazil, likewise in terms of various parts in Africa and Australia as well. But to be fair, I’d rather he answer this question in the next conference call in a month’s time, or in 2 months time.
Operator: [Operator Instructions] So, we don’t seem to have any further questions in the queue. Do you have any closing comments?
Srinivasan Venkatakrishnan: Nothing from my side operator. Once again, I can thank everyone on the call for the support they have provided and certainly wishing AngloGold Ashanti many years of prosperity ahead. Thank you.
Operator: Thank you, sir. On behalf of AngloGold Ashanti team, that concludes our earnings conference. Thank you for joining us. You may disconnect your lines.